Operator: Good morning. My name is Joanna, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Royalties 2024 Third Quarter Results Conference Call. [Operator Instructions]. Thank you, Mr. Watson, you may begin your conference.
Nolan Watson : Thank you, Joanna. Good morning everyone, and thank you for calling into our Q3 earnings call. Before I hand things over to Erfan our CFO to review our quarterly earnings highlights, I'd like to give an update on a number of things in our business, and specifically, number one, an explanation of our Q3 production and what we're seeing for Q4 so far, including colors to our guidance range. Number two, a brief update on our key development assets, and with that a discussion of how we plan on running the company to ensure our trading multiples increase over time as these assets progress. Number three, an updated discussion of our capital allocation plans, including debt repayment rates and why we see those significantly accelerating. So starting with number one in our third quarter, which I would characterize as having record margins with underlying production of ounces and pounds relatively close to budget. There were some drags on gold equivalent ounces, one of which was a slower than ramp at Greenstone, which is our newest stream to come online, and is one of our most significant assets. It's a stream that we're still very excited about, and as it ramps up, we expect future Sandstorm Gold's equivalent production to increase in the quarters to come, and for the Greenstone mine to be an important contributor to our production for many, many years. Subsequent to quarter end, we note that Equinox declared commercial production at Greenstone, and recent throughput averaged over 20,000 tons per day, which is 76% of design capacity. And we'd like to congratulate them on this milestone, and we look forward to the continued ramp up of Greenstone production over time. The other main reason gold equivalent ounces were lower than originally budgeted, which we also experienced in Q2 and will continue to experience in Q4 is that gold prices are much higher than we originally budgeted for during the year, and our copper streams and royalties and our silver streams and royalties are turning into fewer gold equivalent ounces. In fact, according to our original budget at the beginning of the year, for which we assumed $1800 per ounce gold prices, we were expecting Q3 gold equivalent production of 20,300 ounces. Based on the number of ounces of gold and silver and pounds of copper, etc, that we actually received payment for in Q3 if the gold price had averaged $1,800 an ounce, like we budgeted, and silver and copper prices were also what we budgeted, the number of gold equivalent ounces we would have recognized in Q3 would have been close to 1900 ounces. So we were actually within 6% of budget, if not for the gold price going up and averaging $2,520 per ounce during the quarter, and all that to say, the underlying portfolio is actually performing quite close to what we planned, except for a slower ramp at Greenstone. And I for one I am never going to complain about higher gold prices, because not only is it increasing our cash flow, but when you look at all of our major ramp up growth projects, being Greenstone, Platreef, MARA and Hod Maden they are all 100% gold streams. You can see from this slide that 70% of our Q3 revenue is from precious metals. But once all of those assets have been built and we're receiving gold under those new streams, we expect over 85% of our production to be precious metals. So high gold prices means more cash flow now and a bright future for Sandstorm in the short term, because gold prices have gone up even further in Q4 compared to Q3 and are now around $2,700 per ounce. We expect this issue to be even more pronounced in Q4 and therefore we're updating our guidance range for the year to between 70,000 - 75000 ounces. We'll wait until the early part of Q1, 2025 to give guidance for the 2025 year but even with these strong gold prices, we expect our production to be closer to 80,000 ounces next year, because Greenstone is ramping up and our Arizona royalty should be online for a full year. Over the next five years, we still see our production increasing materially and eventually increasing to 155,000 ounces per annum, which is more than double our current rate of production. We have significant confidence in our future and our value and it's mornings like these where some shareholders are selling shares are clearly not paying attention to our value, and when they sell, we're happy buyers of those shares, and we cancel those shares to shrink our share float, and will likely do so next week, once we come out of blackout. We're happy on behalf of shareholders who are paying attention to take advantage of situations like today. And that brings me to the second thing I wanted to talk about, which is a brief update, a reminder of our key development assets, as well as our company's valuation and how we see improving over time. I've been traveling a lot over the past couple of months, talking to institutional investors, and there's one thing that has stood out to me from many of those conversations, which is that there's still a material knowledge gap by the investing public about our key development assets, the quality of those assets, the stage of development of those assets, etc. In one conversation I had, I was asked by an investor who's the operator of Platreef, and when I explained that it was being built by Ivanhoe Mines, a company with a $20 billion market capitalization, they were surprised to hear that because they were an Ivanhoe Mines investor and they hadn't heard of Platreef, which I find hard to believe. But the reality is, we focus on our asset base every single day, and sometimes we forget that other people do not. And all that to say, we see an opportunity to provide more information on our current and prospective investors about the key development assets and help keep investors up to date with progress and with respect to Platreef, specifically, later on this call, Dave Awarm will give a brief update on that mine, which is being constructed now. And Dave will also talk a bit about what makes that mine so high quality. For our other two key development assets, being MARA and Hod Maden, we will also be finding ways to remind investors about their quality and help track their development. From Platreef, MARA and Hod Maden we expect eventual production to be between 70,000 to 85,000 ounces per year just from those three streams, which is as much or more production than we currently have from all 39 of our producing assets. Therefore, understanding the progress of these three assets is key to understanding Sandstorm and what will drive our share price in the future. MARA, for example, is perhaps the least well understood of these three assets because of its significant estimated mine life of close to 30 years, and significant annual estimated contributions to Sandstorm between 20,000 to 30,000 ounces per year, which at spot price would cash flow to Sandstorm conservatively well over a $1 billion over its life, this is set to become the most valuable asset in our portfolio, and it's an asset that Glencore has recently bought 100% of and has publicly stated they plan on building it, albeit without giving much guidance as to timing, publicly, having said that recent developments in Argentina have caused major mining companies to start moving forward in Argentina in a major way, whether it be BHP entering into a $3.25 billion joint venture with Lundin Mining on Filo and Josemaria, or whether it's Rio Tinto acquisition of Arcadian Lithium for $6.7 billion which has its main assets in catamarca, the same province in Argentina, the Glencore's MARA project is in one of the reasons for this big push, in addition to change in government is because there's a new large investment regime enacted in Argentina. It was enacted this last July, which fixes companies tax rates at 25% as well as provides for additional tax advantages, including accelerated depreciation, indefinite carry forward of tax losses, and under specific conditions, reduced withholding tax rates on dividends and cross border payments, and provides mechanisms to prevent value added tax from being a financial burden, and also under certain circumstances, provides exemptions from import and export to these as well as certainties on foreign exchange. The catch is that in order to be eligible, you have to start your project by July 2026 which is in about a year and a half, and you have to be done 40% of your construction within the first two years of July 2026. The government is putting the pressure on companies to get these big projects like MARA moving forward, and although that's not a guarantee that Glencore will move MARA forward on that exact timeline. We do think the probability MARA moves forward on a reasonable timeline is high enough that we're continuing to prioritize debt repayment to get ready for the day when the MARA stream option is triggered. While I'm on the topic of MARA, I've received the comment from a few of our institutional investors that they think there's some misinformation in the market about how the timing of our cash payments on the MARA stream option would work. I'd like to clear it up by emphasizing that at no time will we have to pay all $225 million up front when we exercise the MARA stream option. Rather, the way our agreement works with Glencore is that we pay the upfront deposit slowly, over time with them as they construct the mine, which I would expect to take two and a half to three years. And the rate of those payments would be less than our operating cash flow. So at no time do we have to prepare our balance sheet for that payment, because even while we are making those payments depending on the gold price, we expect to have excess operating cash flow to continue debt repayments or share repurchases. A new slide that we have added to our presentation is to show our expected 2024 guidance, represented by the gold bars here, compared to our midcap royalty peers, as well as what our growth looks like over the next five years, represented by the forest green bars compared to the same royalty peers. And we specifically highlight the production growth expected from Platreef, which is already in construction and MARA, which we think is easy for our investors to wrap their heads around, with respect to timing than Hod Maden. And you can see from this chart, with Platreef and MARA alone, we would have similar growth profile to a Cisco [ph] growing to 120,000 ounces per year, so about the same production now, the similar production in five years, even if Hod Maden is materially delayed. The Hod Maden is peer upside to those numbers for us. To be clear, we still believe Hod Maden will be moving forward, but a common comment that we get from investors who are paying attention to MARA is they say, I can wrap my head around Glencore building MARA soon, but I struggled to know whether SSR will be moving Hod Maden forward on a timely basis. Given what's happened to SSR and the time delays Hod Maden has experienced, we understand that perspective, so it stands firm we simply made this slide to say, okay, even if you take Hod Maden out, we are still trading at half the market cap for the same production as our closest peer. Having said all that, we noticed that SSR filed their quarterly financial statements yesterday, in which they disclosed that they spent $10 million on Hod Maden during the quarter progressing it, which is a ramp up in spend at that asset. And I'd encourage our investors to keep an eye on those numbers moving forward, because they will be an indicator of the behind the scenes progress that's being made at Hod Maden. As I've mentioned, I've talked with many investors over the past two months, and we'll be out of town, traveling and talking to investors for three of the next five weeks, so I'll get to hear even more feedback. During those conversations it is clear to me that most investors agree there are four primary reasons we are trading at that discount, and I think it's important for investors to understand these reasons so they can understand the drivers that will remove them over time. The first reason is a legacy debt perception when we took on $640 million of debt to do those large deals two years ago, our debt is now down to $369 million and dropping quickly. And that issue is going away now and will continue to dissipate further with time. In fact, I'm even starting to hear comments from some investors that, since the debt is not at all an area of concern anymore, they wish we were buying back more shares, although debt repayment is still our primary focus of cash flow, it's refreshing to hear that sentiment turning as it will help drive our stock price higher. The second reason it relates to Orion Mine Finance, which became our largest shareholder through the acquisition of Nomad, becoming a 16.3% shareholder of Sandstorm, and since they are a private equity fund, people knew that as the specific fund that we were owned in is coming to an end, that Orion would have to sell its shares in Sandstorm eventually, and our investors were expecting them to do so in a large secondary offering of their shares at a big discount. Some of you may have noticed, and I am happy to report, they did not do a large secondary and they have already sold enough shares to get them down below 10% so this discount will be lifting as people realize that there is not a large secondary offering coming, and will continue to lift as we find new institutional shareholders to take the remaining shares off Orion's hands, I am very appreciative with how Orion has sold so far, and it's been effectively seamless in large block trades to new institutional shareholders. The third reason I believe we traded a discount is that some investors are scared that we will ruin this beautiful setup for Sandstorm by doing an equity offering. I can assure people that we will not do that. We have built the portfolio that we are proud of, which we can get cash flow from to not only pay down our debt and buy back shares, but the portfolio's production has 100% growth coming in the future. I believe that this third issue will take time to dissipate, because when we grew Sandstorm over the past 15 years, for the first 13 years, we needed to raise equity when we found new deals. This is no longer the situation. We have reached our critical mass. We have been shrinking our share float, and we will either merge our company, sell it, or grow organically within our means. As we stick to this plan over time, I believe people will gain confidence that we have a shrinking share float over time and not a growing one. The fourth issue is the one that I'm talking about right now, about development projects, specifically that our three key development projects are not as well understood as we would like them to be, and therefore people's confidence in them and their timing affects our evaluation. This issue will naturally dissipate as these projects move forward, and we find better ways to articulate such progress to shareholders. Anyway, as I've said, for shareholders who want to understand Sandstorm and what will drive a share price going forward, in addition to debt reduction and increasing production from Greenstone, it's important to watch the progress of the Platreef mine as it's being built, and the progress of MARA and Hod Maden project. Now I'll move on to the third and final item I want to talk about this morning, which is capital allocation plans and debt repayment rates. As I've stated in the past, our main priority for capital allocation, after paying our dividend each quarter, is debt repayment with the potential for some share buybacks. We do not plan on allocating material capital in the next year to new transactions as we continue to focus on debt repayment. During Q3 our debt repayment of $9 million was slower than in past quarters. However, the rate we are now repaying our debt is rapidly accelerating, and I expect that to continue to accelerate in 2025. In Q3 specifically, we had some timing issues with non-cash working capital that reduced our operating cash flows by $4.5 million, and we bought back $5.2 million of our shares at an average price of $5.50 per share U.S., which is materially below our current share price, and we canceled those shares. And I think those share repurchases at that price were a good allocation of capital. At the end of the quarter, we had less debt and fewer shares outstanding already in Q4 we can see that our debt repayment is accelerating because we've already repaid $10 million of debt in the first five weeks of Q4 and our debt is now down to $369 million as of today. The reason for this quicker pace of debt reduction is that gold prices are up and we haven't had working capital go against us, as well as reduced share repurchases. With these higher gold prices, our cash flow is increasing, and as our key development assets come online in the coming years, this will own only increase even further. You can see on this updated slide, we show that what our cash flow would be after tax, once these assets have ramped up, calculated both at $2,300 gold as well as $2,800 gold and at $2,800 gold, cash flow gets up to just shy of $300 million per year. Even at $2,300 gold, which is well below today's gold price, our cash flow would be a quarter of a billion dollars per year. So we're now in a position where we're expecting production to increase next year, as Greenstone ramps up, our debt is declining at an accelerating rate. We have fewer standing shares than we did last quarter and last year, and we have large development projects that should be doubling our production and increasing our cash flow in the coming years. Of those projects, Platreef is already in construction, and I would expect to see movement in at least one, if not both of our other two major development projects over the next 12 to 18 months. And with that, I'll hand it over to Erfan.
Erfan Kazemi : Thanks, Nolan. Despite lower GEOs, I would characterize the third quarter financial performance of continued strength in commodity prices driving higher revenues and record operating margins. The company recognized revenues of $44.7 million for the three months ended September 30, 2024 supported by higher prices for gold, silver and copper. At an average realized gold price of $2,520 per trivial ounce, the company cash operating margins of $2,215 per ounce, marking a record for the second consecutive quarter this year. And with gold prices continuing to reach all-time highs thus far in the fourth quarter, I expect we'll see another record set at the end of this year. Of approximately $45 million in revenues, $26.7 million was attributable to the company streaming contracts and $18 million from royalties. Cash flow from operating activities, excluding non-cash working capital, were $37 million increasing from $33.9 million in the same period of 2023. Net income was $5.8 million compared to close to nil in the third quarter of 2023. The increase in net income was driven by higher revenues, lower depletion expense, which was in line with the decrease in gold equivalent ounces sold and a $1.1 million decrease in finance expense related the company's revolving credit facility. Sandstorm made net repayments of $9 million on its revolving credit facility during the third quarter. But as Nolan mentioned, we've made an additional $10 million in repayment so far in Q4 and our debt balance as of yesterday, was $369 million. Attributable production for the third quarter was approximately 17,400 gold equivalent ounces, which was lower than anticipated, which was in part due to the effect of higher gold prices relative to other commodities, as Nolan outlined earlier. However, when comparing year over year production from individual assets, there are few items to highlight. In Canada, Greenstone continues to ramp up, and Equinox just announced commercial production based on operating progress in October, Sandstorm received and sold nearly 1200 gold ounces attributed Greenstone in the third quarter, which offset a year over year decrease in trivial production from the Copper Mountain Mine in BC, Sandstorm received a true up payment from Copper Mountain in the third quarter of 2023. In South America, 55% increase in the number of copper pounds sold from the Chapada Copper Mine in Brazil, and higher realized copper prices offset a decrease in the number of silver ounces sold from the Cerro Moro Mine in Argentina due to expected lower grades as a result of mine sequencing, The decrease in silver ounces sold from Cerro Moro was also offset by a 33% year over year increase in the average realized selling price of silver during the third quarter. Stronger royalty revenue was recognized from the Fruta del Norte mine in Ecuador, lending gold the operator Fruta del Norte has released several impressive drill results from the 2024 near mine drilling program, which includes intercepts from the new bonds of sewer gold deposit. A metallurgical study is planned for 2024 and a maiden mineral resource estimate for bonds of sewer deposit expected by mid-2025. At the Arizona mine in Brazil. Equinox, gold resumed mining following the displacement of material at the Piaba Pit in the first quarter, following persistent heavy rain royalty revenue the attributable to Sandstorm in the second and third quarter of 2024 were negatively affected as the processing plant Arizona was idle for May and June. Equinox, began mining at the Tatajuba pit in May, which was originally scheduled to commence in the fourth quarter. The Tatajuba pit, which is within Sandstorm's royalty claim, is expected to provide most of the ore fee for the remainder of 2024. The Bonikro Gold Stream in Côte d'Ivoire drove increased production attributable to mines outside of the Americas. Following the closing of the third party financing package Allied Gold Bonikro's operator plans to allocate a total of $16.5 million in 2024 to advance high priority targets located within Sandstorm's Bonikro stream claim. Allied expects the accelerated projects that aim to optimize operations, extend mine life and increase asset value by unlocking additional upside potential. These are just a few highlights from the 41 producing mines underlying our financial performance this quarter. I continue to be impressed with Sandstorm's portfolio of assets, and we look forward to certain key development mines ramp up and come online in 2025 and beyond. As Nolan discussed in detail based on the company's existing streams and royalties in year to date, outperformance of gold price relative to other commodities we are forecasting attributable gold equivalent ounces for 2024 to be between 70,000 and 75000 gold equivalent ounces. We continue to anticipate Sandstorm's production forecast to reach approximately 125,000 attributable ounces within the next five years, based solely on streams and royalties of the company has already bought and paid for. And with that, I'll turn it over Dave to discuss one of our key development assets. Dave.
David Awram: Great. Thanks, Erfan and good morning everyone. Today's asset update will focus exclusively on the Platreef project. As Nolan stated earlier, Ivanhoe is well known mine builder and operating ranking among the best in the world. However, due to their focus on operations in the DRC, the Platreef project tends to get less attention, even though it is truly a game changer in the PGM space. Platreef is situated on the northern limb of South Africa's Bushveld complex, a region renowned for its rich deposits of platinum group metals considered a key disruptor in the PGM world. It is a testament to modern mining innovation and geologic excellence. The deposit is considered to be the world's largest precious metal development with approximately 400,000 ounces per year production once Phase 2 concentrators are up and operational, potentially increasing to over twice that amount in PGMs and gold when Phase 3 is active. The Platreef ore body is characterized by its substantial thickness and flat line nature, which is quite different from the steeply dip in Merensky and UG2 reefs found on the eastern and western limbs of the Bushveld complex. Platreef boasts a mass of 26 meter thick ore body, making it highly amenable to mechanized mining methods. On this photo to the right, you can see how that thickness compares to the 29 meter height of the shaft one head frame. This thickness is exceptional when compared to the typical one meter thick Merensky reef. Platreef is rich in a variety of metals. It contains significant quantities of platinum, palladium, rhodium and gold, along with notable amounts of nickel and copper. This diverse mineral composition sets it apart from the Merensky reef, which primarily reads platinum and palladium with minimal base metals. The flat line nature of Platreef allows for the use of larger tonnage, mechanized mining techniques. This not only enhances safety and efficiency, but also reduces the environmental footprint of the mining operations. In contrast, the Merensky reef is narrow and steeply dip in ore bodies often require more labor intensive and less mechanized mining methods. What I'm pointing at is that compared to all other South African PGM producers, Platreef is head and shoulders above the competition, both safety and efficiency, which is reflected in the industry cost curve that you will see later on. Moving on now to where Ivanhoe is in progress. Phase 1 construction is largely finished with the completed concentrator now in cold commissioning stage, the concentrator will be placed on care maintenance until each second half of 2025 as Shaft 1 prioritizes the hoisting of waste from the development required to bring forward the start of Phase 2 operations. Work continues on the updated feasibility study to accelerate platters phase two as well as the preliminary economic assessment of the new Phase 3 expansion. Both studies are expected to be published in Q1 of 2025. Reaming of the 5.1 meter diameter shaft three from the 950 meter level was recently completed and equipping has commenced. Shaft 3 is expected to commence hoisting in Q1 2026, with a capacity of approximately 4 million tons per annum, together with the current operating shaft one total annual hoisting capacity is expected to be 5 million tons per annum. Additional underground ventilation will now be provided by the new 5.1 meter diameter shafts named Shaft 4 and Shaft 5. Drilling of the pilot hole for Shaft 4 is complete with a reaming expected to start imminently. Civil construction of Shaft 4 substation, building and ventilation fans are advancing well. Geotechnical drilling has commenced on the proposed Shaft 5 site. The installation of the 1124 tons of internal structural steel inside Shaft 2, which you see a picture of right here head frames continue during the past quarter, as well as the installation of the winders and related infrastructure. Reaming of Shaft 2 to an initial diameter 3.1 is progressing well with approximately 100 meters remaining, and completion expected in the coming weeks, expansion of the shaft to the final diameter of 10 meters will commence in late 2025. The completion of Shaft 2 will increase total hoisting capacity for ore and waste development across all sheet, three shafts to 12 million tons per annum. A lot of discussion about shafts, I can tell you. Construction of Platreef's first five megawatt solar power facility is expected to be complete by year end. The power generated by the shaft will support development activities and operations, together with other renewable energy sources that are expected to be introduced over time. In summary, the Platreef project is poised to become one of the world's largest and lowest cost producers of PGMs, nickel, copper and gold. The geologic features and modern mining technique not only distinguish it from modern the traditional Merensky reef projects, but will position it as a leader in mining industry. For Sandstorm the 30% gold stream means about 10,000 ounces per year when Phase 2 starts, when they move to the 10 million tons per annum of Phase 3, that represents 15,000 to 20,000 ounces per year for Sandstorm while at that 30% threshold of the gold stream. The bottom line is that moving up the timing of Phase 2 at Platreef has big implications for gold coming to Sandstorm. Certainty on Phase 3 will also help crystallize longer term gold sale estimates as well, Platreef still has the opportunity to be one of the biggest contributors of growth to sandstorms portfolio. So with that, I'll hand over the call back to Joanna, the operator for a Q&A session, and please again, feel free to ask questions about any of our royalties and streams.
Operator: [Operator Instructions]. Your first question comes from Heiko Ihle at H.C Wainwright
Heiko Ihle: Hey, earlier this call, you mentioned the material investing knowledge gap in the market. Just conceptually, I'm trying to figure out how we and by we, I mean you and the analyst community can make this go away, or at least, you know, decrease the effect of it. Can you maybe provide some color on what people are actually missing? I mean, you hinted at the fact that some people might not even put enough credence into the fact that the operators are a large scale size, etc. But besides that, I mean, how do you think the analyst community, and for that matter, Sandstorm personnel, should go about making this more clear. I mean from my research I see that same gap between the share price and the inherent value of the company as well.
Nolan Watson : Yes, I think really there's in terms of what we can do going forward, I think is a number of things, including speaking about them more often, providing more clarity as to what stages they're at, providing more materials for investors, not just for institutional investors, but for retail investors as well, videos, presentations. We believe we're going to do an investor day for the first time in 2025 and are going to put a big, significant focus on helping people understand those things with graphics that they can then use going forward, and then we'll keep the market up to date with so I think, I think the ball is largely in our court to articulate those things better. I mean, to a certain extent, we're always going to have challenges with articulating those things. The streaming royalty model is a little different than the mining companies specifically, because we appeal more to a generalist investor, and they're just generally less educated as to what is going on in the mining community, and so that's just that much more important for us to articulate well.
Heiko Ihle: Fair enough and then little bit different question, given the election win in the U.S., anything internally that has changed with you in regards to your internal willingness to take certain risks. Any changes to your internal hurdle and discount rates? I mean, obviously the long term bonds have gone up a little bit this week. Anything that you change that you apply to certain assets, countries, etc, as much color as you're willing and able to provide on the public call like this?
Nolan Watson: I would say, generally speaking, in the short term, no in the sense that we don't plan on doing any material deals in the next year, potentially two years, that we don't really have to wrap our heads around what rates of return we would be buying things at, because we don't plan on buying things. We plan on paying down debt and buying back our shares and getting ready to exercise the MARA stream option, I would say, in the longer term, looking at the gold markets, although it's anyone's guess what's going to happen, I do believe that significantly increased deficits in the U.S. are going to accelerate people's purchases of gold over the longer term, because it's just there's an impending sense of the ending of the ability of the U.S. government to borrow at these rates, and that's going to come to a head faster. So more bullish on gold, but not really changing the way we think about acquisitions.
Operator: Next question comes from Derick Ma at TD Cowen.
Derick Ma: Thank you, and apologies if I missed this earlier on the call. How will Sandstorm balance the capital allocation between debt reduction and share repurchases, and does the falling interest rate environment change our views in terms of where you ultimately want to end up with the debt?
Erfan Kazemi: Over the longer term I think falling interest rates do affect us. It doesn't really affect us that much quarter to quarter -- quarter point here, quarter point there, is moving the needle dramatically from the fact that we want to use the bulk of our cash flows for debt reduction. Last quarter, we bought back $5 million worth of shares, paid back $9 million of debt, I think just because of the number of things that happened, like working capital going against us last quarter, and a couple of other things and small investments we made that that debt reduction was lower than what to see in future quarters, I'm expecting by Q1 debt reduction to accelerate to close to $30 billion a quarter, and the share buybacks to be somewhere between $0 million to $5 million a quarter.
Operator: [Operator Instructions]. Next question comes from [indiscernible] from Scotiabank.
Unidentified Analyst: I know that you mentioned that your priority right now is debt, their repayment and share buy back, but you had previously advised or sometimes that you were also looking at transactions within $100 million so just to be sure, and to be clear, you're not looking at anything, any sort of transactions. You have nothing in your transaction pipeline for the next two years.
Nolan Watson: Yes, just to be clear, so we always look at what is out there to make sure that we are not missing anything. So we are looking to the extent to making sure we don't miss anything but our objective is debt reduction, first, share buyback second, and we don't see anything out there that makes us want to change that plan.
David Awram: But of course, the exception of that is really that MARA project. It really that option that's available to us. It's already priced out. We know what it's going to cost. So if that were the only thing that we were looking at, clearly that helps, that will be effectively the best deal in the streaming space going forward, between now and the next several years.
Unidentified Analyst: Okay, got it and within, within where you're looking at like currency, what would you say? Okay, I know you said it doesn't make sense. What you're saying doesn't really make sense to for you to want to jump in. Can you give an intuition into what you're sort of saying in terms of like the deal, like streams or something.
Nolan Watson: So I'll be more clear, we don't plan on doing any material deals in the next year, other than exercising MARA stream option, if and when it is given to us, we will re-evaluate that. Is that clear, right?
Operator: The next question is a follow up from Derick Ma at TD Cowen.
Derick Ma : Thank you. I wanted to ask one question on Entrée, could you piece together for us what's happening with Entrée, the arbitration and the ultimate impact it's going to have on Sandstorm and how you think that's going to resolve itself?
Nolan Watson: Yeah, maybe I'll hand it over to Erfan, he's very close to that situation.
Erfan Kazemi: Yes. Thanks for the question Derick from what I understand is Entree has continued the arbitration proceedings with Rio respect to the transfer of those licenses under the proposed JV. I understand there's been some speculation in the market on what that means, but as I understand it, they continue to move forward on that basis and these things can take time with respect to its impact on Sandstorm. The stream is directly with Entree and has certain rights and protections under that stream. And I think having further clarity on moving those licenses will be a net benefit, but in the long run, won't impact the time or expectation the cash flows that Sandstorm expects.
Nolan Watson: I was just going to say. What I would add to that is Entrée just recently put out some drill results this week that were we put them into leapfrog and are very, very exciting drill results to understand sort of where they are in the deposit. I think that my conclusion to take away from that is that Sandstorm can expect a lot more gold and copper production under the stream that we have than we were previously anticipating.
Derick Ma : And they've commenced underground development on those JV grounds it's really about transferring the licenses. Is that correct?
Nolan Watson: Yes.
Operator: Thank you. We have no further questions. I will turn the call back over to Mr. Watson for closing comments.
A - Nolan Watson: All right, thank you everyone for calling into our call. And as always, we're here, and feel free to give us questions if you didn't ask them on this call and have a great day.
Operator: Ladies and gentlemen, this concludes your conference for today. We thank you for participating, and we ask that you please disconnect your lines.